Barati Mahloele: Good morning, ladies and gentlemen, those of you here with us at the JSE in person as well as those joining us online. My name is Barati Mahloele, Investor Relations at Tiger Brands, and I have the pleasure of welcoming you to the Tiger Brands FY '25 Results Presentation. I'd like to acknowledge the presence of the Chairman of our Board, Mrs. Geraldine Fraser-Moleketi, members of our Board as well as our Executive Committee members who are with us today. Later on, joining me on stage will be the CEO of Tiger Brands, Mr. Tjaart Kruger; as well as the CFO, Mr. Thushen Govender, and they will be taking us through the presentation this morning. Before I hand over to Tjaart, I'd like to bring your attention to our forward-looking statement. And with that, I hand over to the CEO of Tiger Brands, Mr. Tjaart Kruger.
Tjaart Kruger: Good morning, everyone. And Barati, that was very formal. Anyway, I'll leave the chirping on the new dress code to Thushen. He'll talk about it later. We really believe in Tiger that we've turned the corner and we -- on a new planet almost. We really do think we've reset the organization, and we believe that our visuals, our logos and stuff must present that. And therefore, you've probably seen in the press announcement this morning, there is a few changes, but we officially want to do it now to expose you to the new Tiger. [Presentation]
Tjaart Kruger: So we're very excited about this. If I can make a few comments on this new logo that we presented here. I think my first comment, which is not on the list there, is that it's only 2 colors. And what does that mean? All your printing is much cheaper. And that's real. It's a joke now, but that's real. The fewer colors you have and everything, the less your costs. And that's very important for us because to live to those promises that you've just seen in that video, we must get our costs right down to get our products at an affordable price and make the margins we're looking for. And we think we've achieved that in the last while, but we'll talk about that in the next hour or so. But a few comments around this brand. It's bold. It's our Tiger. The previous picture was probably [ 8 Tiger ]. This is our Tiger. Nobody can copy this. It brings focus out. It draws on the legacy of the past. I mean we've had 100 years of greatness in this organization. It brings that out, but it also takes us into the future. The geometric shapes inspires our value chain. And that's very, very important and a very nice way of designing this is -- if you look at those bottom pictures, you'll see all the ear of the Tiger comes off the Black Cat Peanut Butter bottle. The chin of the Tiger comes off the Chutney, Mrs Balls' bottle. One of the side things here comes off a plow that's a farmer busy working in the land. So this brand logo represents our whole value chain. And that's very important to us because we know to deliver on our promise to our consumer, we have to manage that whole value chain, whether we own it or whether we partner with it, we have to manage that whole value chain to the end degree to make sure we get our proposition and we get our values right. So very excited about this new brand. And we obviously, lots of internal stuff that we're going to do with the brand with our people in Tiger, but also external with our stakeholders driving this forward. So I hope you like it. This is what you're going to see going forward. I can now for the real job this morning, the results presentation. Thanks, Barati. So as normal, I'm going to do the highlights, the strategic execution. Thushen will take us through the operational performance, and then I'll conclude with the outlook going forward. We certainly have had a good year. If you look at our cash conversion, 90%, and you'll see we've reduced our dividend cover and paid special dividends. The work we've done on portfolio optimization is going very well. The Carozzi disposal is done, Baby Wellbeing is done. The LAF disposal is done. The SKU rationalization is far ahead of the target that we've set 2 years ago. And the Randfontein site is at the competition tribunal, I think, today. And if you look at those volume growth of 3.5%, if you take out these SKUs that we've discontinued that volume growth, it's actually 5.8%. So very chuffed to say. The guys have really done a great job of driving value in the business. And if you look at the volume growth and the revenue growth, you can see we've got deflation in our turnover, which is great because we brought value to our consumers, and we brought value to our customers. With that, we delivered the right margins as well. So we're very, very comfortable with that. And capital allocation, returning ZAR 10 billion to shareholders over this period. Special dividend, share buybacks and ordinary dividends, and Thushen will get into the detail of that. So we're very pleased with the results that we've seen over the last year compared to last year. And you can see we're clearly into the double-digit margins here. The year number is 11.1%, I think. And it's really a great performance by the organization. And that's why you would also see that I've asked the whole executive to attend. Normally, I say to them, if you've got important factory visits to do, go and do that rather. But today, I said, make an exception. Please attend this presentation because I do think we've got to showcase stuff here that we're really proud of. So good performance for the year. But also on the sustainability commitments that we've made, and I want to make the point upfront. If you look at these achievements, they all merge with the business on a commercial proposition. They're not separate stuff that we do to get points for CSI or BEE scorecards. We get that anyway. We know that. But they're done in a commercial basis integrated with the organization. And those top 3, the Langeberg & Ashton deal we've done, we were very conscious not to lose those jobs in the community that we can save the jobs, and that was a great deal that was done. The small white bean farmers and the tomato farmers is our whole promise that we started 18 months ago to really get back into agriculture and make sure we secure our supply chains, in a sustainable way and in a commercial viable way. And we're very proud of all those farmers. And I visited all of them myself. It's really going quite well. On the electricity side and emissions and waste to landfill, making good progress on the glide path where we want to get to our targets. And all those activities will save us money. It will save us money to have panels on the roof rather than pay Eskom for power. It will save us money to have less landfill stuff because it costs you money to take that to landfill. So great progress in that area. Our general trade progression, as you know, we've got 2 big drives in the general trade. The one is in bakeries. And lots of technology that's going in there to drive our volumes in the general trade. And then the other project we started about 3 years ago is to get into this par of general trade directly through also putting some technology in there, and that's going well. We're over 100,000 stores where we started with, I think, 60,000 stores 2 years ago. On our people side, fill 60% of leadership vacancies internally. That's a big number. And we've got some great people at Tiger, and we are able to promote them into these leadership positions, having had the right programs to develop them over the last number of years. And then we've had a few winners of some competitions. Please don't give those names to headhunters. That's a flippant remark. But we -- people at Tiger, work at Tiger, not because we pay them a lot, it's because it's a great place to work. That's why people are here. We also pay them a lot because that goes with a great place to work. But you can't just work for money. You work because it's a great place to work. And that's the culture we're building in the organization, and we're making very good progress on that. We shared these guidance numbers with you over the last 2 years and just a measurement on how we fared against those. And you can see that these medium-term guidance targets, we've actually exceeded them. We exceeded some of them last year already. And the great performance, volume growth, revenue growth, operating margin. Revenue growth is probably slightly short of inflation, but we're very comfortable with that because we've restated our price points, and we took a lot of cost out of the value chain in many of the businesses. Operating margin over 10% ROIC, well on its way to 20%. Working capital, that 52 is probably not a sustainable number, but we're very comfortable with a target of 67 and that we will beat that going forward, but we'll talk to you about new targets later on. And then on the simplification of the organization, real great progress. We've only really got the King Foods site, Randfontein site is busy happening and then the chocolate stuff we spoke about last time as well that needs to be resolved. So great progress in all of those areas. And I do think the short- to medium-term guidance is irrelevant. Now we'll have to restate those numbers, and I will do that at the closure of the session. If you look at our strategy execution, and we shared this with you before. If you look at our strategic thrusts, I really think the organization has done extremely well and the cost leadership, a bit of that, the way we took costs out over the last 2, 3 years of the business, make it more efficient, and it's everywhere. It's overhead, it's recipes, it's factory efficiencies, it is distribution efficiency. It's everywhere in the business where the business has really performed extremely well in that. Our portfolio, we just spoke about that, great progress in that. Rejuvenating a brand. I think if you look at the numbers this year, you'll see the spend coming back into marketing. And remember, last year, I think I stood here and I said, if you haven't fixed the business, you haven't got your price points right, you're probably wasting every cent you spend on marketing. That's not the case anymore. You'll see our spend and our investment behind our brands is on its way coming back, and you'll see big spending in that going forward. Growth platforms, we spoke about those growth platforms, health, nutrition, affordability. Affordability, I think we've done well. Health, nutrition, we've probably got a lot of work that we're going to do. I'll talk about that just now. And superior challenges is the GT trade we're talking about and looking at all our channels, the wholesalers, the retailers, great relationships with all of them, great work we're doing with all of them. So great work doing in that. On our enablers, I just want to make a comment on 2 of those. The one is competitive manufacturing. We haven't got a business if we haven't got efficient factories. We are driving scale. We big in all the categories we play. We need to have highly efficient factories to deliver safe products that's of the right quality and that's in time. And that doesn't happen by itself. That happens with a huge effort and huge investment. And the progress in that area has been phenomenal over the last year, and that will continue. And the second one I want to talk about is sustainable agricultural sourcing. We cannot, as Tiger, sit here and say there's been a bad crop of small white beans, we haven't got baked beans. That's not an option for us. We must make sure we understand the value chain and the supply chain, and we must be able to predict the crop, which we can. And then we must have alternative plans, whether it is different areas of growing small white beans, maybe importing it, which is plan 5 because the quality is not right. But the thing we're doing is to get small white beans to be grown Malelane area in the north, in the south, in the east so that you get the climatic conditions that impacts on this, you get that a little bit more balanced or better balanced. As an example, we cannot sit here and say we haven't got caps for closures for our mayonnaise because the supplier dropped us. It's not an option for us. This has happened in the past. So we must manage our supply chain. Agriculture, in particular, and the caps is a supply chain issue. Eggs is another issue in mayonnaise 2 years ago. So that's a lot of work we're doing. And if we talk about sustainable agricultural sourcing, that's the type of stuff we're talking about. Our consumers need the products on the shelf all the time, not when the weather is good. If you look at our strategic ambitions, maybe same to the guidance we've given you, these are probably not ambitions anymore because we've reached most of those or achieved most of those, and we will probably restate them as we go forward. But certainly, very proud of the organization. And these ambitions were probably stated for 2028 and it's 2025, and we've probably reached most of them. So well done to the organization, and we will work on that. Because as an organization, we want to be ambitious. And if we do state targets for ourselves, we want to be ambitious on that and we want to really reach for the staff. So we will restate those. Just Tiger at a glance. And if you look at this slide, you can actually see why Tiger is such a great organization. In these businesses or categories that we play, we're really the #1. And in most of them by far. In bread, we're probably not by far. Our competitors is probably a close #2 from a brand equity point of view. Their volumes is higher than ours. We know that. You know that, too. In grains, we are on those 3 brands, by far the biggest and by far the best and by far, the most preferred. Now yes, our challenge, we must keep it like that. And you can only keep it like that if you stay relevant. And that's the whole strategy that we've spoken about so often. If you look at our culinary business, look at those brands. 6 brands, Crosse & Blackwell is #2 from an equity point of view, but we took back our market leadership in the last 6 months. So we'll be #1 soon again. And in Snacks and Treats, those brands are to die for. Home Care, #1 in Doom, big brand; Ingram's, we've spoken about, we're #6 or 7, but it's got a niche position, and it's got good margins. So if you look at this slide, it really -- it's not difficult to sell Tiger. It's really -- it's got brands that you cannot -- you can only buy these brands. You can't develop them. It takes 100 years to develop brands like this. And we've got them, and we're making them better, and we're making them more relevant to our consumers. The new strategy that we started communicating with you about 2 years ago was to be Southern African focused, South Africa bricks and mortar and a very focused distributor model going into Southern Africa. And that's the countries where we play. We haven't got distributors in all of them. Some distributors look after 2 or 3 countries. So I've also said to you before, Southern Africa, don't try and draw a line just above Angola. We're happy to go into those countries into Africa. We're also exporting into other countries, but that's more in an opportunistic way. This is a strategy that's focused. We've got focused distributors in these countries, and it's really going well. On the left side of the slide, you can see where our factories are more or less all over the country, very focused in Gauteng or in the center, but we're in Cape Town and we pick in Durban as well. That's where all the confectionery businesses are. So great business, good footprint, good factories all over the country and well positioned. So going forward, we always talk about the affordability and the focus on value for the consumer. We've got a consumer under stress. And I think I've said before that all these presentations normally started in a very stressed economy or with the consumer under huge pressure, and that's normally making excuses. I don't think I've started like that this morning. I think my message here is that we are much better positioned to serve the consumer under these conditions at the moment. So the consumer is under pressure. 4.5% inflation, if you look at labor and wage negotiation and rates where they've settled this year, the consumer is under pressure. There's no doubt about that. We can see it in promotion activity. Lots of our products sold only on promotion, about half of it. So what does that mean for us, that first block? It means we must be relevant. We must be affordable, and we must know how to operate on promotions. We must know how to operate with combos. And that is the one thing we've got right, particularly in a business like Grains. We've got that right. We know how to do promotions, and we know how to play the combo game because we've got the brands to put in the combos to make the combo attractive to the consumer. And some of our retailers and wholesalers know that. We're not arrogant about it. We're strategic about it, and we work with our customers to make that work. And that is one thing we got right this past year. The retail landscape, we know it's blurring. We know all the retailers are opening in townships. We know all the wholesalers have got retail outlets. We know the whole thing is blurring. We understand that. We've got lots of activity into the general trade. We know the e-commerce thing is developing. You know the home deliveries, we're in that. We're growing big in that. So we understand that whole landscape around what our customers do and how they want to do things, and we support them. And we work with all of them strategically to make things work better. And then the supply chain risk, I've spoken about quite a bit already. We don't have enough water in South Africa. We also don't have services in -- our service is not always as good as it should be to get water to our factories. We understand that. We understand that from a climate position, from agriculture, from water in agriculture, we must go to areas where there's enough water, maybe irrigation water and not rainwater, and we drive that in our agricultural activities. Global and local suppliers. I think we're all aware that, that block, the Baltic block with Russia and Ukraine probably exports most of the world's sunflower and most of the world's wheat. And when that war started, there was a big problem with that. That again, for us, we can't go and say the person, the shopper at the shop, we haven't got flower for you because the Russians invaded Ukraine. That's not an option for us. We must find flower. We must find wheat. So to understand that whole global value chain and where we procure from, how do we mitigate, and I think we're getting much better at that. And then leveraging digital tools. And the best example we probably have in our logistics setup. We've got digital tools in our logistics setup where we've probably taken out quite a couple of hundred million rand of costs to improve that. And our service levels has probably improved a good 5 to 10 percentage points over the last year. So reacting to all these things is what we do. We don't stand and complain about them. Key milestones that we've achieved. We've started February last year. It feels like 20 years ago, but it's not even 2 years ago that we've restructured the organization into the federated model. We took a couple of months to find our feet. September, we spoke about the continuous improvement and the SKU rationalization. We improved on that. We changed structures again in the December, but Culinary and Davita under Culinary. In March, Baby Wellbeing was sold. Carozzi was sold. Randfontein was agreement signed. Randfontein now is hopefully sold in the next day or so. In May, we made considerable progress with the Listeriosis case, and we can talk about that later. We've made some more progress. And then in September, the LAF agreement, which took 5 years to conclude was concluded, and we actually went down on the 1st or 2nd of October to have dinner with the Premier and the new team in LA and they're very excited about their future. Let me conclude this first bit with just reminding you of our capital allocation model and what we've done with it and how we've applied it and how we stuck to the discipline of our capital allocation model. So the first thing is probably looking at our capital allocation model and our business and how we generate returns and what returns we need and how we can get businesses to those returns. And if they can't get there, then we must dispose of them, which we've done. So I think we made great progress on that, get the portfolio right. And then we've -- as we say through the capital allocation model, we first look at internal requirements. We must obviously pay tax. We must put money in working capital when required. We've got maintenance CapEx. We've got growth CapEx. And then with the cash after that, we decide what we do. And you've seen we've bought back a lot of shares. We've reduced our dividend cover, and we've paid 2 special dividends interim and we paid a big special dividend, paying a big special dividend now. So we are driving through this capital allocation model to get our balance sheet to be optimal and to really be the foundation of future growth in the organization. So I think the one thing we've done is we stuck to the discipline of this over the last 2 years and really applied our mind what to do with the cash. And you'll see that -- I mean we're returning about ZAR 10 billion of cash to our shareholders. So that was my introduction. Let Thushen take you through the operational performance, and then I will conclude a bit later.
Thushen Govender: Good morning, everyone. It's nice to welcome you today on which is a very momentous day for us with the launch of our new purpose as well as our refreshed logo. I'm sure as you've seen, our rebranded CEO with his new suit. Sorry, Tjaart, you left the door open there. So I'm going to touch on a few key initiatives first that we've managed to make great progress on and then move into the segmental analysis. I'm sure those of you who have read the earnings announcements have seen we're certainly ahead of targets when it comes to continuous improvement. We committed that amount to you over a 2-year period, and we've delivered it in a year. And it's a testament to the great work done by the team, and you've seen it come through in the operating margin improvement that we've delivered in the current year as well. We're confident that there's more fuel in the tank. There's more opportunity in Tiger Brands, as Tjaart referred to earlier, and we're committing to another ZAR 500 million over the next 2-year period, and that will also drive further margin accretion. I'll touch on working capital a little later on, but ultimately, you'll see it's a job well done with some focus from management as well as some tailwinds from soft commodities. Capital investments. When I stood in front of you in H1, we spoke about the Mega DC. I'm proud to say that we've now appointed a developer. We signed off on the designs, and we've identified a plot. This will probably be commissioned in October 2027 or just before then. And the reason why we're delaying this slightly is, as I mentioned to you, we're consolidating about 4 warehouses and we want to align the commissioning of the DC with the expiry of the leases. So there isn't any duplication in costs. The super bakery, well on track to be delivered late next year. No pressure, Quinton. And I'm going to talk to you more about the mega site philosophy that we're bringing to the 4 across our business units and how that drives manufacturing footprint optimization. Digitalization is a key theme, not only for us and for the rest of the world, as you all know, with AI being the new buzzword or the buzzword for some time. We spoke to you about the logistics control tower, the software we put in place and how that's managed to improve our efficiencies, turnaround times of our trucks, monitoring how long they wait at customers or outside our facilities. And it certainly delivered a big part of those savings that you see in continuous improvement. So that's been well managed, and there's still room to go improve. The bakeries team have implemented software that we've spoken about previously. It's now implemented across all our bakeries that optimizes our route to market in the general trade that drives efficiencies, and that's well on track as well. The AI journey within Tiger, I'm proud to say, has commenced. We've started our first AI committee. We've identified some use cases, which are currently in progress, and we're starting to see the results. A big part of AI and the technology journey for Tiger is the culture. So I'm partnering with our Chief HR Officer, S'ne on this as well, driving training programs to create a more digital savvy, digitally savvy Tiger Brands and also create that culture that embraces technology. In the past, we invested quite a bit in software solutions, but we didn't manage the change management aspect of it well and monitor the adoption, and that points to a culture. So that's what we're trying to change within Tiger, have a culture that embraces new technology. On international markets, the key distributor model is well embedded. We're moving away from that trading mindset, in particular, in our neighboring markets, where we're looking at category management principles. We're working on brand development and establishing our brands in these neighboring markets as really household names as well. Moving on to the numbers. I think that was exceptional revenue growth, considering the soft commodity deflation and obviously underpinned by good volume performance and some deflation in other categories as well as we managed our price index to improve our competitiveness. Operating income and operating margin, you're seeing the benefit of CI come through, the continuous improvement I referred to and at the same time, the volume leverage driving that margin improvement. It's also nice to see that across all of our business units, conversion cost per unit has reduced. And to Tjaart's point earlier, marketing investment is up double digits with -- now that we understand where we want to invest and we've got our price points right, we're speeding up that investment. The evolution between EPS and HEPS is really the profit on sale of Wellbeing and the Carozzi business, and that's the movement that you see there. And I'll touch on working capital in the coming slides. I think this is quite an important slide, and we're wondering whether we should put it up. But given the questions we've had in the past 2 years around we're going on this portfolio optimization drive. Is it going to create a HEPS gap? Carozzi was a big contributor in the past. Chococam was a big contributor. And what is Tiger going to do to fill the gap? I'm proud to say we've actually done exceptionally well to fill the gap in the current year. And obviously, in the coming year, with the organic growth, we plan to exceed off this base. So what you see on the left was our reported earnings of ZAR 18.10, and that includes Chococam and Carozzi, as you see to the left of that graph. And what we did for the F '25 graph, we've taken out the impact of Carozzi that's in continuing operations. Remember, for the first half of the year, we consolidated those -- I mean we accounted for those equity earnings. And then there's also some benefit there from interest rates on the proceeds and ForEx. So we've been very transparent about that. And we said, if we take out that full benefit, what does the adjusted continued HEPS look like? And then we've then taken into account the shares that we've purchased to date. There was about 5.5 million shares in 2025 on an unweighted basis. And as of last Friday, about 4.4 million shares on an unweighted basis. And when you apply that to the headline earnings and consider the HEPS versus FY '24, that gap has largely been filled or reduced to 1.8%. So to those questions around whether we're going to leave a gap with the portfolio honing, I think the discipline that Tjaart talks to with regards to our capital allocation and the focus on the core results has certainly lifted our headline earnings from continuing operations. And here is testimony to the fact that the Tiger can change its stripes. Let's hope a few other stripe animals follow suit soon. So moving on to the next slide. This is the volume on an adjusted basis where we take out discontinued SKUs, discontinued operations, and we show you what that normalized base growth looks like. And as you can see, it was an exceptional performance from the business, volume growth across the board. On STB, we did see some challenges come through with the competitive pricing in the CSD market and consumers shifted to that category. But we've rectified that. We're already seeing some green shoots. But all in all, as I mentioned, managing the price point, the volumes have come through quite nicely. And on Grains, you've seen that commodity deflation in rice, sorghum and oats in particular. On bread as well, the drag there on pricing is due to the wheat milling operations. On the cash movement for the period, as you can see, exceptional performance from cash operating profit. And on working capital, it was well managed. And there's probably 2 or 3 reasons supporting this working capital benefit. One, that federated model and the decentralization of procurement brings a lot more focus to procurement. We can manage our procured positions better. Decisions are made closer to the close -- I mean the cold front of business, and it's more effective with regards to stockholding management. The other point is, I mentioned to you in H1, we've implemented SAP IBP. Just to reiterate, that's not a ERP implementation. I had a few panicky messages on that. That's just a business supply and demand business planning tool. And it's quite a sophisticated tool looks at regression analysis, it looks at historic trends and helps us predict the stock levels that we should have. And it certainly helped us in managing the complexity that we have much better. And the third probably benefit to acknowledge is the tailwinds we had in our commodity business. And as Tjaart mentioned, it's been a record year for Tiger, ZAR 8.3 billion worth of dividends, a reduction in our dividend cover from 1.75 to 1.25 shows our confidence in the fact that this cash generation is repeatable, and we've optimized the business platform. The ZAR 1.8 billion in the end there relates to the Carozzi proceeds. You won't see that in your cash flow analysis. We've had to re-categorize that in the balance sheet due to IFRS purposes, and it sits under an investment account. The reason why it's there is to optimize our return on those proceeds as we anticipate the dividend payout. On CapEx, as you can see, we're making great progress. And besides the super bakery and the Culinary mega site investment, there's efficiency CapEx and capacity CapEx across all business units. And as I said to you, the Mega DC is on track. We're now applying that philosophy that we've applied in Gauteng to consolidate and streamline our warehousing facilities. We're applying that philosophy to KZN and Cape Town, where we have multiple facilities and there's opportunities to consolidate that warehouse facility and generate the similar synergies that we anticipate from the Gauteng Mega DC. An exceptional performance from the bakeries team on track with their turnaround strategy. You can see the margin expansion coming through, the operating income growth and there were a few things driving this. Besides the supply chain optimization, the reduction of waste, the improvement on conversion cost per loaf as a consequence of labor optimization, there's also diligent price point management. The team look at price discounting per route all the way down to that level to ensure we're not putting too much on the table, discounting too deep, and it's quite critical to manage those price points in what remains a competitive category. The other thing to point out on this slide is you will see that, that operating margin was delivered off the existing platform. The super bakery has not been commissioned yet. We have optimized our existing operating platform, and we will see that operating margin move closer to double digits even before the commissioning of the super bakery. So we're well on track here. Maybe just 2 call-outs here. The route-to-market software is now implemented in -- across all the bakeries. It's driving not just efficiency, but it's aiding the team in penetrating the general trade channel using geolocators to lay down what is the route to market, identify those in-store locations and make sure they service it effectively. So that software solution is certainly a step change in our demand management. Price volume, as I mentioned, that mix remains quite crucial as well as making sure it's relevant for each of the channels we participate in. Operational excellence goes without saying, and I think the other call out here is the great work done on our recipes over this past year to retain that #1 spot in bread. We worked with partners, technology partners, reformulated our recipes, and you're starting to see that come through in the reduced consumer complaints. It's quite a sophisticated process. The recipe can vary from region to region as well given climatic conditions. So that was well executed and consumers are embracing the new recipes and the quality that comes with it. On Grains, you see that deflation coming through in the revenue, but there was a spectacular turnaround from Liezel and the team with regards to that performance. And there's 2 or 3 things driving it. The first one is important to acknowledge is that base isn't really where this business should be. With the brands that Tjaart referred to earlier, we've had some challenges as well in the past with this business. So there is an element of this that's really the rectification of the historic margin. The other element is the better management of business across the supply chain, whether it's conversion cost per unit, whether it's waste management, whether it's extraction from our mills, and that's driving that margin improvement. And the third one is what Tjaart referred to earlier around better trading, better understanding our procured position relative to global commodity pricing, making sure when we foresee a drop in this commodity pricing, we trade out very quickly in order to remain competitive throughout the year in the various channels that we participate in. So that price point management in store relative to the commodity position is a critical aspect to manage. And I think it's also worth mentioning in this business, a little bit of luck also helps when it comes to commodities. With the commodity deflation, we saw quite a few consumers come back into the category. The Indian borders had opened once more and rice prices had normalized. And it also helps when your competitor is out of stock for a little bit and you take full opportunity of that. And moving on to some of the key factors that looking -- when we look ahead at the Grains category. Cost leadership, absolutely crucial. The value engineering opportunity and the automation opportunity in these facilities are phenomenal. There's still some fuel in the tank here. Yet again, as I mentioned earlier. In fact, just recently, we've approved end-of-line automation in one of the facilities that will deal with the pelletization. And even lightweighting of packaging, processing, as I mentioned, there's a huge opportunity to drop the costs even further. The other important aspect is portfolio optimization. We -- as you know, we've exited the maize category. That category had changed structurally with regional millers dropping prices and impacting our margin, and that was part of our noncore businesses that we exited. And here's another business that holds potential from a mega site development perspective. Our pasta site in Isando, we're revisiting the opportunities to expand that facility and look at increasing our breakfast offerings to the market. As you know, we're big in the oats category. That's predominantly a winter product. There's opportunity to expand our breakfast repertoire, and these are various things we're considering. On Culinary, it's nice to do to see your business firmly in the double-digit territory now. At 9.7%, the market said to us, well, you're not quite there, but we're firmly over the 10% hump, and we're in that double-digit territory. So that's nice to see that those value engineering initiatives that we've been talking about around packaging lightweighting, around recipe formulations is coming through quite nicely and assisting that turnaround. And as you know, in this business, the affordable -- the affordability of our products is quite critical. We've managed the price points quite well. We're launching the tiered products and brands that we referred to. Black Cat, creamier, in PET, which is a reduced peanut content -- peanut butter should be in your grocery stores pretty soon. It's an amazing product. Please go out and try it. Some of the key highlights on Culinary as you look ahead. Cost leadership, absolutely crucial to remain relevant to our consumers, as Tjaart mentioned upfront. And here again, across the value chain, there's significant opportunity for further value engineering. And the other concept that we -- as I mentioned, we spoke about the mega site upfront. And in this business, that will also aid us in step changing our cost profile. In Paarl, we're establishing a vinegar site. We've had some challenges with supply there, and we've also established -- we're establishing a vinegar line in Boksburg that allows us to reduce our dependency on suppliers for critical products such as All Gold, Mrs Balls and mayonnaise. And by in-sourcing that vinegar production, it helps us reduce our cost per liter on that particular raw material. And at the same time, we're in-sourcing the Mrs Balls product. That will be manufactured in Paarl as well, and that's going to become a mega site for the Western Cape region to service our markets nationally. And that mega site concept and manufacturing footprint optimization is key to unlocking further margin expansion. The investment behind our brands has just started. There's significant opportunity with our value tiering to drive further penetration in the market, go after those Tier 2 brands and establish ourselves as a relevant offering across the LSM profile consumers. On Snacks, Treats and Beverages, as you can see, it's been an exceptional year. Margin improvement, operating income improvement. We spoke to you about the degrammage in our candies and sweets portfolio. It's particularly important to be at the right price point in a discretionary category. And with that degrammage and maintaining competitive price points, we're seeing nice volume growth and nice upliftment in our margins. So it's really been a great year for the Snacks and Treats portfolio. On Beverages, we did see some headwinds. As I said, the carbonated software category, there was some huge price war, shall I say, highly -- became highly competitive in that category. And as a consequence, you've seen consumers shift their preference or their choices from squashes, which is the Oros stronghold into carbonated soft drinks. So we did lose some traction there. However, as I said, there's big investment going behind this and the reduction in the input costs with the orange squash prices coming off globally is also aiding us into recovering those price points on shelf. So we've seen some nice turnaround now in the Beverage category. This business has also focused a lot on the time and motion study within the various facilities, and that's delivered labor cost optimization, which has improved our conversion cost per unit. Looking ahead, there's 2 or 3 important factors that will help us remain -- continue to remain competitive on shelf and drive further margin expansion. One is the consolidation of our various snacks and treats facilities. There's 3 in Durban. We're busy exploring the consolidation thereof. And I think we did mention that to you in H1. And the other big margin unlock is the investment into a primary DC at our Roodekop beverage facility. Right now, the product gets on to a truck because there's no space -- storage space on site, goes to Yaldwyn, which is in Boksburg, gets double handled there. We get a customer order, gets back onto a truck and goes to our customer. So there's huge inefficiencies. So we're now investing in a primary DC, which will allow us to unlock further savings. On Home and Personal Care, I think it's important to point out that in the prior year number of ZAR 559 million, we do have ZAR 45 million from the Wellbeing business, and that's still in prior year continuing operations. So Thabani will give you a pass there. There has been growth on prior year. If you back out that ZAR 45 million. And on a like-for-like basis, you are seeing growth. Having said that, you would recall from H1, we did experience some challenges with can supplies for the pesticide business. And it happened during the worst time ever. It was during the pest season. We have managed to mitigate that by finding an offshore supplier at a much better price point. However, with that comes the working capital implications. But all in all, we believe we're in a better position, sustainability of supply at a lower price point. The other challenge that we faced in the current year was in our Personal Care business. Good volume growth, yet highly competitive prices in the skin category. And it's something that we really need to turn around and focus on with regards to the Ingram's brand in particular. So the turnaround focus in this business is the relaunch of Ingram's. We've got some value engineering around the packaging. But most importantly, we're trying to reduce that dependency on the Camphor range, which is a winter-specific product. And with the relaunch, we will position ourselves as a skin solution for all seasons. So that should deal with some of the seasonality challenges in this business. The other good opportunity that we're busy leveraging is the penetration into neighboring markets, our pesticide business, the Ingram's Camphor cream product itself is doing exceptionally well in those markets, and the team is really driving market penetration and consumer acceptance of these products. And I think the other thing to focus on here is rightsizing the cost base. We've rightsized the portfolio. We've taken out the tail brands and SKUs, and now we're going to rightsize the cost base to further enhance those margin and make sure we're competitive on shelf. I'll close on that note, and I'll hand back to Tjaart. Thank you.
Tjaart Kruger: Thank you, Thushen. If I can -- 2 or 3 slides to conclude with. This slide is just talking about our priorities for the year ahead. And if you look at the stuff I'll just talk about in this slide, as you can see how much runway we still have for the next 2 or 3 years to deliver value improvement in Tiger. We've started the journey. We've done quite well, but we're by far not finished with it. So if you look at a couple of points in Milling and Baking, embedding the basics, getting those 700 trucks every morning out of every bakery before 6, managing that supply chain, optimizing product quality. That's stuff that they're busy with every single day, and we've got lots of opportunities still in that area. General trade recovery, doing great work. We dropped below 50% 2 years ago. We're above 50% now. We must get that above 60%. That is hard work. It's very competitive. And it's difficult. That's why the technology that the guys have put in there is so important and driving it day after day after day, and that's in progress. The super bakery will reposition this business from a cost base point of view. That's not in this current financial year, that will be in the following financial year, the benefit of that. That bakery is on track, very exciting. It's something that hasn't been built in this country yet. And we would like to show it to you when it's commissioned, which will be towards the end of next calendar year. In Grains, huge opportunities in expanding the Jungle repertoire. The Jungle brand, I think, has got so much legs to go outside of oats. And we've seen it before. We must just sort our supply chains out. So lots of opportunity and lots of work being done in that area. Defending and growing our main meal carbohydrate. So great work done this past year with Tastic and with Fatti's & Moni's. I mean Fatti's & Moni's came from a loss 2 years ago to being a good operating business now. And that is main meal stuff. It's the biggest brand. It's the only brand to find in those categories. And we must make sure that we stay as tough as we can, no space for competitors to come in and no space for competitors to get any space anywhere. Pasta is out of capacity. We need to look at that. We're busy looking at that. We must put in -- probably put in a new plant. And then snacking, this is one area, and it's probably the Jungle brand, but we're open-minded to use any of our mega brands. And it's probably savory snacking that we're talking about here, big opportunity. The one thing that we've changed a bit in Tiger is we're not -- maybe I should speak for myself. I'm not that keen on outsourcing production. You can't control your quality and you can't control the safety of your products, or you can, but it's more difficult. So whatever we do here must have proper scale. We don't necessarily -- we're not necessarily very good at niche positions. Must have proper scale, and therefore, we must have our own supply chain and our own factories, and we're busy doing that, and we can do that. In Culinary, great work over the last while. Still lots of opportunity in product tiering. Thushen spoke about the creamier Black Cat that will probably be launched in March, April somewhere. We've got opportunities in mayonnaise for product tiering, probably got opportunities in tomato sauce product tiering, just to get an alternative to the consumer at a much better price point. That work is happening in the business. And in the next year or 2, we'll see lots of these things happening. Value engineering, they've done so much work in the Culinary business to take cost out of the supply chain. And it's recipes, it's packaging, it's more efficient factories. And there's lots of opportunities still to come. We've still got quite a bit of products in glass, and we've spoken about moving to PET for a while now. And we will do that in a sensible way. It will be consumer-driven. We won't do stuff our consumers don't like, but that work and those opportunities are still there. The manufacturing footprint optimization in the Paarl site is quite big. The Paarl site was a small little factory, a big facility, but a small little factory making jams quite manually. We're commissioning 3 plants in that facility over the next couple of months. In fact, they have been commissioned. The products will probably hit the market early next year sometime. It's a new jam line, chutney line and the vinegar line. And there's space for more and there's more stuff going to happen on that side. So very exciting for that business. And the export recovery, we probably -- when we had the nice problems in this business, in particular, we short the export markets to satisfy local markets. And that recovery is in progress. That problem also helps us with very, very efficient factories now because you can imagine those factories are running flat out and the throughput and the overhead recovery is phenomenal. Snacks and Treats, discretionary category in Snacks and Treats. We must get our offerings right. We must get in the face of our consumers. We must get our marketing spend right. We must get our distribution right or we must get it better, it's not wrong. And we must get our innovation right in launching new products in that category. Yet the risk is that we don't get to where we were 3 years ago with having to take out 20% of SKUs again. So what we're developing in the business is this innovation culture of new stuff the whole time, but take the old stuff out and keep the place efficient. That's the big thing, is we must keep the place efficient. Thushen covered a little bit Oros and Energade, where we've got some nice campaigns in place now to address the loss of volumes with the CSD war going on. We've seen some nice recoveries in that business over the last couple of months. So it's going well. A big driver in this organization is the S&T site optimization in Durban. We've got 3 sites and we will end up with 1 site in 2 years' time. And that's a big project. It's on the go. It's got the right resources behind it. It's probably about ZAR 200 million, ZAR 300 million CapEx, and it's very exciting. It will reposition this organization if that's completed. And Thushen spoke about the DC at the beverage site. Home and Personal Care, we must recover the pest volumes. Last year, we were very short because we didn't have cans, and we must penetrate other markets. The further north you go from South Africa, they don't really have a winter. They only have a summer. So there's mosquitoes all the time. And I think we know that, and we drive these products into those areas. The body care volumes, I think Thushen covered that. We've got the plans in place, get our cost down, different packaging, more relevant, cheaper and going to the right channels to get the right marketing campaigns behind the products. And then continuously look at our costs in this business. The one -- we've sold quite a few brands out of the Personal Care business, and that obviously impacts on your factory, your throughput and your volumes through the factory is not as it was a couple of years ago, and we must fix that, and we're busy with that. So that's quite exciting. So I did ask all the MDs to come and listen to this because now this must be done. But they're pretty good at doing these things. My last slide, and I spoke to you earlier about restating our guidance on these numbers. And I think that is what we said previously and what we're saying now really is looking at the volumes, medium, short term, 1% to 3%, longer term, 4% to 6% inflation, just beat inflation. And I think if you've got the deflation in commodities, that number is a little bit different, but we understand that. If you look at our operating margin, probably get towards 12% in the medium term and 15% longer term. ROIC, we're close to 20%. So we probably want to get into the very shorter term over 20% and then aim towards 25%. Working capital, we stick to the 65 days. I think the guys are pretty efficient in working capital. And then the gearing, I spoke to you about that on the first slide as well that our gearing is probably around 33% or 1x EBITDA. We're very far from there. That's why we've got all these special dividends and reducing the cover. And we're trying to get to that number, and we'll probably get there in a couple of years' time, but the company is very cash generative, but that's the ambition. And then the portfolio optimization is, we're very close to actually have the portfolio optimization as a key issue because the stuff has been done. The 1 or 2 things may be left. It's not such big issues. And then obviously, the longer-term guidance is where do we look at inorganic growth in the organization. And what do we do about that? I think internally in the current businesses, we've got huge growth opportunities in all of them. And then on top of that, from a capital allocation model point of view as well as to look at what opportunities do we have outside of that. And that's probably longer-term thinking that need to start. With that, I say thank you very much for attending and listening. And I think Barati will go on to questions being dialed in and taking questions from the floor. Thushen, I think you must come and sit here.
Barati Mahloele: Thank you very much, Tjaart and Thushen. Online, please do continue to submit your questions. But I think it's best to start in the room. Shaun, go ahead. Please introduce yourself, even though you need no introduction.
Shaun Chauke: Okay. Shaun Chauke from JPMorgan. Two questions -- no, before I start, I think it's safe to say the Tiger is out of the cage. It's ready to go hunting. So just 2 questions on my side. So well done on that. Results on the Milling and Baking were achieved purely on the back of fixing your existing bakeries. So then my question is, how long from commission, so i.e., the start of FY '27, do you expect to realize the full benefits of the super bakeries? And what capacity utilization assumptions are you using for that scenario? And outside of -- that's the first part on that. The second part of it is outside the pure economies of scale benefits that you do get from the mega bakery, what are some of the upside opportunities that we could be missing because we're not operators. I'll ask the second one after...
Barati Mahloele: Super bakery.
Shaun Chauke: Yes, the super bakery. Sorry, super bakery, yes.
Tjaart Kruger: Remember, the super bakery, whole investment case has been based on cost and not on volume growth. So the whole justification is based on replacing existing capacity with capacity that's much more efficient and much lower cost. So that's the premise of the new bakery. We can see we're not going to be able to close all the old bakeries because our volume growth is there, which is a lovely problem to have. It will probably put us into our second super bakery pretty -- quite a few years sooner than what we thought as well. So the benefits of the super bakery from a utilization and automation point of view is huge. We obviously don't disclose the real numbers, but it step changes the organization's cost base. It improves quality hugely because we use much better technology. And the obvious challenge we have is you've got -- you centralized manufacturing, so your distribution becomes more complicated. But we're very confident that we know how to deal with this. So this bakery will deliver nothing directly to a customer. It will go straight to depots. So with this bakery, we'll have a network of depots. We haven't done those numbers yet, and we don't know yet which exact bakeries is impacted in what way because we will make the decision when we get much closer to commissioning to look at the volume demand and the volume requirement. But it's step changes to organization. The second question, I think, was what opportunities do we miss from an efficiency point of view without having a mega bakery or super bakery?
Shaun Chauke: So beyond your economies of scale efficiency benefits that you get from the super bakery, is there anything else we're not thinking about that you see that you think you will get as part of those benefits?
Tjaart Kruger: Yes. The way we go to market is always a big opportunity. We talk about the general trade, but we also talk about how do we get bread to consumers in innovative ways that get them to prefer our product ahead of our competitors. And the bakeries have started a couple of months ago with a project where they get the hawkers on the street corners with trolleys that takes about 20 loads of bread. And they buy them from a local vendor in the area, which we set up and then they go and sell and they make about ZAR 200, ZAR 300. These are unemployed people. They make about ZAR 200, ZAR 30 a day on selling that 1 trolley, they sell 2 if they want to. But that's a very innovative way to look at, and we need 1,000 of those ideas daily to get our product to our consumers in a cost-efficient way where the consumer can choose it ahead of the rest. That type of stuff doesn't stop. It doesn't wait. We don't -- we're not waiting for this new bakery to save us. It won't save us if we wait for that. We have to do everything we do. And our coastal bakeries are not impacted by that. Our coastal bakeries are not that old anyway. Maybe Durban is quite old, but it's a very efficient bakery. And we've got some work to do in Pietermaritzburg. We've got one new line, one older line. But the coastal bakeries, it's a different issue that we have there. It's the biggest -- your biggest challenge in the bakeries after those -- that truck leaves the bakery is how do you get to the consumer before your competitor. And it is -- there's all sorts of challenges. People shoot at you in the trade, and I'm not joking, it's true. They shoot at you. We -- every year in the industry, it's an industry issue. We talk about it in the industry. Every year in the industry, more than a couple of people get shot. So how do you deal with that? A bakery driver, the average bakery driver starts working 3:00 in the morning. How do you deal with that? Do they sleep properly? So there's lots of challenges. That's why if you get that stuff right in the bakery business, people can't compete with you.
Shaun Chauke: And then my second question is, can you please speak about the mega site in Paarl? I know you said it's chutney, vinegar and jam. Maybe speak about the -- because it's very much coastal base and you've got a very strong presence in land, can you speak about the incremental distribution costs relative to the benefits you expect from a manufacturing perspective? So i.e., is the site in Paarl beneficial because it's close to the sourcing of your raw materials? And what else can be brought into the mix of that factory, given that it feels like there's opportunity to still do beyond the 3 categories?
Tjaart Kruger: I think you've answered your own question there. You must come and do the presentation next time. No, that's exactly the answer. The first philosophy of building a factory is you build it at where the raw materials are. Because if you build it anywhere else, you've got byproduct that you must truck around, which has got no value. So if you build a mill, if you build a maize mill, the best place to build a maize mill in South Africa is just north of Germiston because that's where your inbound logistics is the best, and there's feedlots very close by that can take the byproduct. And then you can have 70% of the maize pulp that becomes maize mill, you can truck that around the country, and that's pretty much in the center of the country, too. So that's the philosophy of manufacturing. All -- most of the raw materials for those products come out of the Western Cape, fruit and stuff. So that's the reason that business was started there 100 years ago by [ Acoa ]. Paarl is also a very good location because there's labor nearby, but it's not a big city with the labor cost that you've got in big cities. It's a small town, but it's not that small. So -- and people -- to get management, there's also easy. We would all love to go and live in Paarl. But if you build the factory in Upington, you start struggling a bit -- or maybe in the small town, let me say that. So Paarl is very well located. It's on the highway. It's in the area where the raw materials are. We've got management there. The facility is quite big. There's lots of space. And you're dead right, there's opportunity there for -- I think if you look at just square meter utilization, we've probably got more than 50% of it left for more opportunities. It's a great opportunity. It's a great site.
Barati Mahloele: I think I'll take a question from online before coming back into the room. Tjaart and Thushen, so there's firstly, a congratulatory message. Congratulations on a great set of results and returning so much cash to shareholders. Well done. With regards to Grains, the half 2 operating margin at 14.6%, what would you say is a range for a sustainable margin for this business going forward?
Thushen Govender: You want me to take it? So maybe it's worth recapping on the points I've made as well for the current year performance. One is the soft commodity cycle, and we don't expect that going away in the medium term. So the category pricing still remains relevant, and we think those margins over the short to medium term will continue. The second point I made was around the efficiency being brought to that business. The operating platform was fairly inefficient in the past, as you've seen from the past results. And we've invested in this business as well around value engineering, packaging lightweighting, automation, which is still to come. So that will help sustain those margins. And I think if you were to look at this over the medium to longer term, commodity business, just under 10% or hitting 10% is probably a good operating margin. But these tailwinds, we anticipate to continue over the short to medium term.
Barati Mahloele: Thank you. Are there any questions in the room? None at the moment. No problem. I've got another one coming online. And the question is, looking at the operating margin between the different halves, can you talk a little bit about what drives future seasonality in the group?
Thushen Govender: So if you consider our business, there's a few types of seasonality impacting it. One is generally the festive season. So Christmas, Black Friday, what everyone experiences as a retail surge, we obviously benefit from that. Easter, another opportunity. So as you look at those holiday seasons, there is some seasonality. And then within each category, that seasonality also differs. Bread, you'll find the bakery business seeing a bit of a volume impact during school holidays because kids aren't going to school with sandwiches. On Personal Care, we mentioned the Camphor cream, which is typically a winter product, and we're trying to deseasonalize that. Very similar with the pesticide business, that's a summer product. And as Tjaart mentioned, it's going north of our borders where the winter season isn't as prevalent or focusing on the coastal areas of SA, we can try and mitigate the impact of seasonality. So -- and then just broadly, generally speaking, during the winter months, starches are much preferred to salads, for example. Most of us stay away from salads during winter. So each category has a different type of seasonal SKU. But ultimately, if you look at the Tiger portfolio holistically, each of those seasonalities offset each other to deliver a consistent set of results.
Barati Mahloele: Any questions? I'll take the last round in the room. Okay. Then I'll close with one last question that comes from online. And it's with regards to the value engineering that was mentioned earlier in terms of moving from glass to PET, reduction in peanut content in Black Cat. Can you talk a little bit more on value engineering across the business and what we can build in going forward from an uplift perspective?
Tjaart Kruger: I think we've got a challenge as business people to run our business on a daily basis better than the previous day. So it's, I guess, a generic thing that your business must be run better and better and better all the time. Your utilization of your factories, improving, put technology in your factory that makes it more efficient, get your yields up. So let me give a good example. If you -- 40, 50 years ago, we could have get more than about 42% super maize meal out of a mill. Today, they run at 72%. And that's technology that's allowed there. I think that goes for most of our other categories in terms of what we -- so that's an ongoing thing, and that won't stop. And we've got lots of opportunity. We've got in the Snacks and Treats business, lots of opportunity for better technology making gums and jellies and all the stuff we do. Now obviously, not -- we can't throw ZAR 10 billion of CapEx in 1 year. We do this over time as we try and improve. I think the journey we started in Tiger, in particular, a couple of years ago on reducing our cost base, which we realized was too high. There were particular things that we needed to do is packaging has moved from glass to PET, but that's the big example. There's also [ lease ] -- a lot of stuff, fantastic in getting the packaging to be cheaper. You can do what thickness of packaging do you need and how many colors do you put on the bag? It's a lot of money. So that value engineering is also never stopping. How do you improve on that all the time. I think the tiering of products that we talk about is there's a particular thing that Tiger probably missed in the past that we've had competitors. Certainly, if you take peanut butter, for example, our peanut butter has got 91% peanuts in it and the sugar, no sugar, no salt and has got 99% peanuts in it. Some of our competitors run at 40% peanuts. Now that gives them a cost advantage that we can't really match. Now our response to that is let's get the PET sorted out, ask the consumer what they think they actually prefer PET to glass because kids walk around with peanut butter jars and its glass is dangerous. So that's the case. But then if you look at the recipe, we're very, very cautious and jealous of our brands. The one thing we're not going to do is mess up our brands. So we do proper consumer research in terms of what we can do with the recipes. And in all these categories, we can probably get a secondary product or an alternative product. And we've spoken about the Black Cat one a few times. It's -- we probably call it creamier, that's a cheaper, but we make sure the recipe that the taste profile is good and it's acceptable to the consumer. We can get that to a price point, and we'll have both on the shelf. And if it does cannibalize it, that's fine because it's at the right margin. So that's one example. We've got that example in all our products. Liezel is working in Grains. It's a bit more difficult to get a cheaper rice on the market because that's a different grain or shorter grain than its stock parboiled rice or long grain parboiled rice anymore. But there are opportunities. He's done a lot of work in pasta around what mixture of flour and stuff do we use. And that, again, is -- that's what our R&D people do on a daily basis. That's what keeps them busy to do those things. So continuously working on how do we improve these recipes to get the taste profile from a consumer point of view more acceptable at a better price. And you get substitute raw materials you can use. There's so many opportunities, but you need -- we need proper R&D people that doesn't sit at head office, sit in the factories where we can look at our technologies, look at our capabilities and actually design the future doing with what we have.
Barati Mahloele: Thank you so much to all of you who have joined us online. For those of you in the room with us, that Tiger shop that you saw outside was not just for show. As you exit this room, you will find Tiger branded Tiger Brands shoppers. Please feel free to take one and fill it up with all our wonderful products across our business units. Thank you so much once again for joining us this morning.